Operator: Good day and welcome to the Energy Recovery Year End 2015 Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Chris Gannon, Chief Financial Officer of Energy Recovery. Please go ahead sir.
Chris Gannon: Good afternoon everyone and welcome to Energy Recovery's earnings conference call for the fourth quarter and and welcome to the Energy Recovery's Earnings Conference Call for the fourth quarter and the full year 2015. My name is Chris Gannon, Chief Financial Officer of Energy Recovery. And I'm here today with our President and Chief Executive Officer, Mr. Joel Gay. To begin, some of our comments and responses to questions may contain forward-looking statements about market trends, future revenue including VAT from the Schlumberger agreement, growth expectations, cost structure, gross profit margins, new products and our performance, and business strategy including strategic partnerships. Such forward-looking statements are based on current expectations about future events and are subject to the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act. Forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties, and other factors that could cause actual results to differ materially from those discussed. A detailed discussion of these factors and uncertainties is contained in the reports that the company files with the U.S. Securities and Exchange Commission. The company assumes no obligation to update any forward-looking statements made during this call except as required by law. In addition, some of our comments include certain non-GAAP financial measures which do not reflect the comprehensive systems of accounting. Generally, a non-GAAP financial measure is a numerical measure of company’s performance, financial position or cash flows that either exclude or include amounts that are not normally excluded or included in the most directly comparable measure calculated and presented in accordance with GAAP. Non-GAAP measure should be considered as a supplement to and not as the substitute for or superior to financial measures calculated in accordance with GAAP. The company uses these non-GAAP financial measures to analyze it's operating performance and future prospects, develop internal budgets and financial goals and to facility period-to-period comparisons and to provide a more complex understanding of factors and trends affecting our business. Now turning to the financials, I will begin with a brief analysis of our financial results on a consolidated basis. I will then turn to a segmented examination of our financial results to provide further transparency and clarity to our business. As such, I will discuss our three segments namely water, oil and gas and corporate. I will begin with the fourth quarter consolidated results and our revenue commentary it is important to note we have two revenue categories, product revenue associated with our water and oil and gas products excluding the VorTeq and license and development of our revenue that attributed to licensing agreements with Schlumberger for the VorTeq. Revenue totaled $16.3 million in the fourth quarter, an increase of 10% from $14.8 million in the comparable period last year. Our year-over-year revenue increase was primarily attributed or driven by increased megaproject, product shipments and the amortization of the Schlumberger exclusivity fee. Of particular note, under the terms of the Schlumberger agreement, the company received an exclusivity fee of $75 million. For accounting purposes, the company recognized $1 million of licensed revenue during the quarter which is representative of the straight-line amortization of the exclusivity fee over the 15 year term of the agreement. Product gross margin, which is to say gross margin associated with water and oil and gas product revenue and their corresponding cost was 55% in the current period compared to 61% in the fourth quarter of 2014.Consitent with prior disclosure, the company implemented austerity measures through the first quarter of 2015 that partially applied to manufacturing operations. As the global dieselization market begin to recover in the second quarter. planned production was adjusted accordingly. However, the slower than anticipated ramp up and associated impact of manufacturing overhead resulted in the margin decline quarter-over-quarter. Also contributing the margin erosion year-over-year with non-recurring cost associated with the property taxes, partially offset by favorable pricing and channel mix. Total operating expense for the quarter decreased by 30% year-over-year to $9.6 million from $13.8 million in 2014. This decrease was primarily driven by lower legal expense and lower VorTeq R&D prototype expenses. On higher revenues, decreased margins and lower OpEx the company generated net profit of $300,000 or $0.01 per share for the fourth quarter as compared to a net loss of $4.9 million or a loss of $0.09 per share in the prior year. This represents a marked improvement in our quarterly financial performance year-over-year. Turning to our full year consolidated results the company generated strong product revenue of $43.7 million, representing a 44% increase over the prior year. In addition the company recognized the aforementioned license revenue of $1 million associated with the Schlumberger agreement. Including both product revenue of $43.7 million and license revenue of $1 million the company generated a total of $44.7 million in revenue. This ranks as one of the strongest top-line performances for our company since the IPO in 2008. The increase in product revenue was primarily driven by significantly higher mega project shipments year-over-year and to a lesser extent higher OEM and aftermarket shipments. Of the $13.2 million increase in product revenue $9.8 million, $2.8 million and $1.3 million are related to MPD, OEM and aftermarket sales respectively. As compared to the 2014 water pressure exchanger revenue or PX revenue for short as a percentage of total revenue increased to 73%. This increase was primarily attributable to higher mega project revenue of $9.8 million. The shift and total product revenue mix represents a 400 basis points favorable shift towards PXs away from both the pump and turbos and oil and gas products. Prior year revenue included rental income from the 2013 operating lease of an IsoGen system with Saudi Aramco. On higher product revenues product gross margins increased by over 100 basis points to 56% from 55% in the prior year. A shift in price and product in channel mix drove the increase in gross margins in 2015. Once again our margin potential was limited by manufacturing austerity measures, slower than anticipated ramp up in production and the associated impact on manufacturing overhead as well as non-recurring property tax true-ups. Including licensing revenue associated with the Schlumberger agreement total gross margin was 57% in 2015. Full year 2015 operating expenses were $37.4 million, representing an increase of $2.2 million year-over-year. This increase was primarily driven by non-recurring CEO transition expenses, and legal expenses, partially offset by austerity measures initiated in the first quarter of 2015. It is important to note that our full year 2015 OpEx includes $6.2 million of non-recurring expenses incurred throughout the year, excluding performance based employee expenses OpEx is in line with our previous run rate guidance. Our operating expenses now fully reflect the austerity measures being implemented at the beginning of the year and the investment in additional engineering resources to advance our robust product development roadmap, both of which we will discuss on our prior calls. Joe will discuss our potential product development efforts and strategy during his commentary later. On higher product and license revenues, increased margins and increased OpEx the company generated net loss of $11.6 million or $0.22 as compared to a loss of $18.7 million or $0.36 a share in the prior year. Excluding non-recurring items the company incurred a net loss of $6 million or $0.11 per share for the year ended 2015. Now turning to the segment analysis, I will begin with commentary on our water segment, this segment generated full year 2015 product revenue of $43.5 million, an increase of 47% year-over-year. The increase in product revenue year-over-year was primarily driven by mega-project shipments as a result of strengthening demand and global water desalination market. As a result of increased product revenues and a shift in product and channel mix full year of 2015 gross margins increased more than 200 basis points to 56% from 54% in 2014. Full year of 2015 operating expenses were $7.6 million, a decrease of 7% year-over-year. This decrease was chiefly attributable to decreased legal expenses within G&A as well as lower desal R&D as a result of austerity measures and the reallocation of resources to oil and gas R&D efforts and finally lower amortization expenses. Sales and marketing expenses increased in 2015 due to performance based employee compensation as a result of the company’s strategic and financial performance. In summary, an increased revenues, fixed mix and decreased OpEx, the water segment contributed $16.9 million in operating income for the year or 39% of revenue. Comparatively the water segment generated $7.7 million in operating income or 26% of revenue for 2014. Now I will transition to the oil and gas segment, which consist of the hydraulic fracturing, gas processing and chemical processing. The oil and gas segment generated full year 2015 revenue of $1.2 million bifurcated into a $141,000 of product revenue and $1 million of license revenue during the year. Product revenue decreased $642,000 year-over-year as the prior year included income from an operating lease of our IsoGen unit with Saudi Aramco while in the first quarter of 2015 Saudi Aramco exercised the purchase option on the aforementioned lease. Again our license revenue is associated with the amortization of the $75 million Schlumberger payment received in the fourth quarter of 2015. Full year 2015 gross product margin declined to 53% or by 47 basis points year-over-year. As a result of a decline in product revenue from 2014 at 100% gross margin. Including license revenue gross margin was 95% for 2015. The oil and gas segment OpEx reflects our investment to develop and commercialize disruptive technologies for emerging markets and vertical. Our sales and marketing expenditures related to the penetration of the gas processing ammonia and pipeline markets decreased as a result of austerity measures and demand generation marketing. While R&D activities did not decreased for the year expenses were lower as a result of VorTeq prototype manufacturing expenses incurred in 2014, which did not recur in 2015. Finally, general and administrative expenses were higher due to higher employee resource allocation and performance based compensation. Oil and gas OpEx expenses totaled $12.4 million for the year. This represents a decrease of $2.1 million from 2014. Now transitioning to corporate OpEx. The company incurred $17.4 million in operating expenses for the year. An increase of $4.9 million year-over-year. This increase was primarily due to $6.2 million in non-recurring expenses associated with the CEO transition and various legal expenses as well as higher performance based employee compensation as a result of the company’s strategic and financial performance. Including my remarks I will discuss our liquidity position as of December 31, 2015. In 2015, the company generated net cash flow of $84.4 million. Cash generated by operating activities in 2015 was $69.1 million largely driven by the receipt of the $75 million license fee from Schlumberger. This includes a net loss of $11.6 million and a non-cash expenses of $7.1 million. The largest portion of which were share-based compensation expenses of $4.1 million and depreciation and amortization expenses of $3.8 million. It is important to note that share-based compensation expenses were elevated during the period by $1.4 million due to the CEO transition. Favorably impacting cash from operating activities was a $2 million decrease in inventory due to product shipments, offset by a $1.7 million litigation settlement. Cash generated from investing activities in 2015 was $14 million favorably impacting cash from investing activities by $12.9 million and $1.7 million were maturities of marketable securities and the related restricted cash respectively offset by $600,000 of capital expenditures. Cash generated by financing activities in 2015 was $1.4 million, positively impacting cash from financing activities was $1.3 million in proceeds from issuance to common stock related options and warrant exercises. The company ended the quarter with unrestricted cash of $99.9 million, current and non-current restricted cash of $3.8 million and short-term investments of $300,000 all of which represents the combined total of $104 million. At this time, I will turn the call over to our President and CEO, Joel Gay to provide a commercial and strategic update. Joel, please go ahead.
Joel Gay: Thank you, Chris. While our core competencies of fluid dynamics and advanced material science are essential to our corporate existence. Our competitive advantages of world class engineering talent, the pressure exchanger technology and speed and agility equally contribute to our success. As we reviewed 2015 of all of our performance attributes speed and agility were most central to forging the most successful year in the company’s history. 2014 was challenging. In fact it was the second worst fiscal performance since our IPO. And our business was caught within the energy and water nexus down draft. How did we respond, we reloaded our strategy and operating tactics as a necessary response to the early days of the continuing economic melees and more importantly as a rebuttal to historical and sub-optimal returns to our shareholders. Let’s briefly recap the timeline of events. In January austerity measures were implemented resulting in the elimination of $6 million of non-mission critical OpEx, and two; we’ve redefined our go-to-market strategy for emerging products. By February the Board was reconstructed to welcome our largest shareholder Mr. Oley Peter Laurence in and former energy recovery CFO and current oil and gas midstream CEO Mr. Alex Bueler. In March Saudi Aramco put the IsoGen turbogenerator system a unit which was sold in 2013 into production in one of their larger plants in the South Eastern Province of Kingdom representing the first bonafide commercial installation of the product. By April, we initiated field trials with Liberty Oil Field services for the VorTeq hydraulic pumping solution and the Board concluded its CEO search resulting in my appointment after having managed the company since January in an interim capacity. By June, the Board welcomed the former CEO of Statoil the 6th largest energy company globally Mr. Olav Fjell and management was top graded to include the appointment of Mr. Chris Gannon as CFO and Mr. Eric Sibber as Vice President of Corporate Strategy and Emerging Market Sales. In October we executed a landmark licensing agreement with Schlumberger the world’s largest oilfield service company to provide exclusive rights to our VorTeq hydraulic fracturing technology. Under the terms of the agreement, Schlumberger paid us a $75 million exclusivity fee in October of 2015. While we have received the exclusivity fee for accounting purposes it will be amortized over the term of the 15 year agreement. In addition, Schlumberger will also pay additional proceeds subject to us meeting certain key milestones that I will discuss later in this call. Upon commercialization, we will have consistent predictable royalty income for the next 15 years that I will discuss later that conservatively equates to $80 million to $200 million in incremental annual steady state revenues. And finally in December we successfully completed the field trials with Liberty Oilfield Services. While there were other significant milestones achieved in 2015 the aforementioned once right the level of being quantifiably meaningful. We move quickly and this ability allows us to accomplish suites that would otherwise be considered improbable given our relative lack of size vis-à-vis the massive markets we seek to penetrate. Lastly in revealing 2015, we further enhanced our position throughout the global desalination market netting $26 million in large scale capital projects and posting a 100% market share in the mega-project segment. Desalination continues to be a core business for us and the revenue growth we were able to achieve in 2015 appears at least repeatable in 2016. I will elaborate further on this later in the call. The VorTeq licensing agreement solidified the evolution of our product strategy. Now in arbitraging wasted pressure energy we can also create markets where pumping assets are subject to and being destroyed by hostile process fluid. At the center of our product strategy is of course the pressure exchanger, a technology whose aperture is only beginning to be defined and whose value proposition to the industrial end user is ubiquitous. The ultimate question of course is what’s next. The answer is we can apply our technology wherever there are high rates of fluid flow, high pressure differentials and or high degrees of capital intensity specifically in the form of pumping assets. We have the ubiquitous value proposition that apply virtually to any industry, any sector, any market or any vertical. Now I’d like to discuss our long-term corporate strategy that we will execute against for the next three to five years. We will pursue four distinct strategic imperatives, one to establish and drive growth in the PX the pump market beginning with the commercialization of the VorTeq. Two, to create a rapid fire innovation machine resulting in the achievement of proof of concept of one derivative of the pressure exchanger every 24 months annually. Three, to enhance our market position in desalination through the expansion of our product and service offering. And four, to monetize the centrifugal product line meaning IsoBoost and IsoGen through commercial vehicles beyond the existing model. We will adapt our business model to fulfill the strategy migrating to a hybrid of a licensor and direct seller of technology. With a flexible model we can strike the optimal balance between the risk and return. The Schlumberger licensing agreement supports this concept. I utilize the metaphor of a reload to describe the changes made to our strategy in 2015. Now with the revitalized focus the company is locked and loaded to generate enhanced returns. With that let us briefly discuss the outlook for 2016 by segment beginning with desalination or water. In virtually all geographies the market continues to strengthen. We review leading indicators such as the advancing of previously scheduled projects into the current period, and we examine lagging indicators such as the shift toward pressure exchangers away from pumps and turbos. We analyzed microeconomic conditions on a market specific basis when evaluating the growth prospects for desalination as macroeconomic analysis often represents take a picture. However the continued strengthening of the dollar has yet to diminish demand for our offerings from either a price or volume perspective. Furthermore in the long run we view the monetary policies by the major national banks as continuingly simulative. During 2015 we were awarded $26 million in large scale capital projects, which provides underwriting for a good portion of our expected revenue in 2016. While fundamentals look positive we remain cognizant of the cyclical nature of the global desalination market. This is why a key tenant of our corporate strategy is to expand our serving offering. In addition to the performance contract and leasing initiatives launched last year we have actively engaged with the strategic partners as a form of capital liked, vertical and/or horizontal integration. The goal here is very simple after more to the end user in a bundle package at the center of which is our pressure exchanger to increase our addressable market to a significantly greater value. Additionally we are opportunistically acquisitive with respect to bolt-on and synergistic technologies as a complement to our organic R&D program. In conclusion we expect another strong year in our water desalination segment with revenues and gross margins consistent with some of the better years in the company’s history. Now shifting to oil and gas excluding fracing, which I will discuss later on this call. Beginning with gas processing and pipelines, we remain focused on two target geographies, the Middle East and North America. Specific to the Middle East, our primary focus remains Saudi Aramco and how to grow and expand that relationship. We seek to establish a beach at here from which a broader Middle East-North Africa campaign can be launched. The process began with the installation of our IsoGen in March of last year and continues as the unit remains as a core fixture in the plant crystallizing our value proposition with every megawatt produced. Our goal is to secure additional purchase orders to Saudi Aramco in 2016 and are executing accordingly. Including the analysis of a multi-phase deployments of our technologies throughout their entire production portfolio. In North America, the market is challenging with downward pricing pressure on crude and its associated commodities. This however has not deterred the evaluation of potential strategic partners who have larger and established distribution channels and whose brand equity in the marketplace could significantly advance our market seeding efforts. Specifically, we have been engaged by or are engaging licensors and/or packagers of gas processing plant technology who directly sell to the end user namely the owner operator of the plants. Our approach for gas processing in 2016 is therefore two prompt. One continue organic market development efforts in Middle East-North Africa and two identify partners and commercial vehicles in North America that will result in a broader adoption of the technology. Specific to chemical processing, our marketing strategy is to seek adoption from upstream licensors and packagers of the plant technology given the strong relationships that they have with the end users. As with gas processing, we are evaluating potential strategic partners to facilitate product adoption and ultimately monetize the underlying intellectual property. These potential partners are similarly the licensors and/or packagers of plant technology and intern sell directly to the end user. We are confident that 2016 will yield meaningful progress for the advancement of the IsoBoost and IsoGen products through either the generation of purchase orders and/or the consummation of a strategic partnership that would ultimately lead to wider spread adoption of these technologies. Progressing now to the fracing vertical. Specifically the commercial of the VorTeq. In December of 2015, we successfully concluded field trials with our test partner Liberty Oilfield Services, culminating in the delivery of profit to a well in the Bakken formation under extreme weather condition. The Liberty field trail successfully demonstrated the validity of our Gen 1 technology, sense the field trials and further evidence of our speed and agility, we developed and produced and improved second generation of the VorTeq that includes both mechanical and hydraulic torque as driving mechanisms. We are confident that the second generation technology will perform well throughout the milestone process under the Schlumberger agreement in 2016. As previously disclosed the licensing agreement includes two milestone tests with each successful test triggering a $25 million payment for a total consideration of $50 million. Milestones one and two contemplate 5 and 20 frac stages respectively performed at Schlumberger test facility and in actual well also respectively. In addition utilizing the Gen 2 VorTeq for these milestone tests, which further improves the probability of our success. We can immediately begin broadening the product’s aperture to include frac chemistries beyond slick water such as linear and crosslink gels. Our timetable for commercialization for non-slick water chemistries begins in 2018. However, we are encouraged by the operability of the Gen 2 offering and believe that this timeline could potentially be compressed. So what does this all mean for 2016? While challenges have and will continue to present themselves. We reaffirm belief that achieving both milestones one into in 2016 and therefore triggering $50 million in additional consideration recognized as revenue this year is well within the realm of possibility. To be clear however, while the $50 million cash payment is significant. The future royalty income estimated conservatively at a steady state of $80 million to $200 million per year with upside is what excites us the most. As we further approach milestone one, we will update our investors accordingly. Lastly, I’d like to discuss our product development efforts and the strategic imperative of developing derivatives of the pressure exchanger every 24 months in annual cycles. The most frequent question I’m asked by a potential investor is why should I invest in energy recovery? My response is simple, other than our dominate market share in desalination, the potential of the IsoBoost and IsoGen products and even the licensing agreement with Schlumberger for VorTeq. The near limitless opportunity for market creation throughout the industrial fluid flow universe is the most compelling aspect of our corporate identity. I’ve often used the asset portfolio management metaphor to describe the business. Moreover as a means of arriving at an equitable valuation namely. Energy recovery consist of the cash cow, our desalination business and a number of real options with varying betas [ph]. Each real option corresponding to a given segment and vertical. In 2015 we exercised one such real option resulting in the most explosive value creating event in the company’s history. The question, the only question that matters is which option will be exercised next? Our product development road map is the guiding principle that determines R&D resource allocation. It presents potential opportunities beyond our existing segments of water, oil and gas and chemical processing to include industries such as mining and pulp and paper that we could pursue at some point in the future. For 2016 however, we will focus development areas -- we will focus on development areas within oil and gas specifically the upstream as it is the most target rich environment specific to high rates or fluid flow, high-pressure differentials and inordinate CapEx. Our bogie is to achieve a 24 month product development cycle, concept to proof and concept. We will then seek to monetize the intellectual property through a commercial vehicle that again balances risk and return. To facilitate this objective we are making significant investments in human capital to further build upon our world class engineering core. In closing, our future as a company has never been brighter or more promising. We entered 2016 with a robust balance sheet and a significant backlog of commercial opportunities in our existing desalination business. We have mobilized to achieve the two major milestones associated with Schlumberger licensing agreement in 2016 and our long-term strategy focused on innovation, commercialization and execution will lead our company to a more predictable growth profile for years to come. Indeed 2015 was a year of transformation, 2016 appears to be the year of delivery. Given our dedicated employees, top graded management team and reloaded strategy I’m excited about our company’s future. With that we will now open up the line for questions.
Operator: [Operator Instructions] And we'll go ahead and take our first question from Patrick Jobin with Credit Suisse. Please go ahead. Your line is open.
Patrick Jobin: Hi, thanks for taking the question and congrats on the quarter and all the progress. Few questions from my side. First, I guess when you think about breakeven profitability in 2016, I guess maybe help us with some of the inputs into that. I think you said revenue growth the same if not higher than 2015. Any other context there will be helpful. And then on the cost front and OpEx. And then I guess the side question to that as, are you including any of the milestones in that revenue forecast? I’d assume it would be recognized all at once for those. Thanks.
Joel Gay: Yeah hey thanks Patrick and great to talk to you again. So when we think about breakeven profitability, let’s bifurcate the analysis which is to say profitability with either of the milestones, because as you know as we achieve one milestone at $25 million and 100% margin by default we would not only be breakeven, but we will be significantly into the black. So let’s just think about the business excluding the milestones. So excluding the potential of $50 million. The steady state business I stated that revenue prospects for 2016 for the declination business should be as good as 2015 if not better. Once you contemplate the $5 million associated with the $75 million exclusivity fee you’re going to get to a revenue number with an assumed gross margin and an OpEx estimate of anywhere from $31 million to $32 million where we will be very close to breakeven profitability if not moderately in the black. So then now when you contemplate the milestone payments. If we achieve either milestone and we recognize that revenue as per GAAP then yeah it will be significantly into the black.
Patrick Jobin: Got it that’s helpful to clarify. My second question just thinking about the status of the [indiscernible]. I know Gen 2 has that been tooled out or is that on its way down to Schlumberger or just any context on timing of that? And then one other follow-up. Thanks. 
Joel Gay : Yeah sure. So we’re right on schedule in terms of our internal timeline as to beginning and hopefully successfully concluding the first milestone test. Our focus is really on milestone 1 if we achieve milestone 1, I won’t say that milestone 2 is a [indiscernible] but the probability of success would increase exponentially. We are in the process right now of retrofitting the missile that was utilized with Liberty during our fuel trials last year. It is being retrofitted to accommodate the Gen 2 cartridge. But more importantly Patrick it is being redesigned to contemplate the many lessons that we learned in the oil patch last year and the several lessons that we continue to learn in our R&D facility here in San Leandro and most importantly through the interaction with the Schlumberger team. We’ve had a tremendous amount of synergy that arose immediately after signing the agreement and they brought a great deal of value to how we’re designing this second generation of the prototype if you will. And so I’m not going to provide quarterly guidance or even semi-annual guidance as to when we expect to achieve those milestones. What I can tell you is from where I sit today we believe that it’s quite possible that we could achieve both milestones in 2016. Now whether or not both milestones happened in November or December or sometimes before that’s the uncertainty around the process that I’m comfortable of speaking to.
Patrick Jobin: Understood. And then just last question appreciating that it’s I guess speculative on your behalf, but maybe just your best guess should be helpful here. Liberty had Gen 1 in the field and certainly completed successfully. Any thoughts as to potential timeframe of additional orders considering they have a certain carve out now subject to exclusivity you have with Schlumberger are they waiting for the milestones to be met with Schlumberger or is Gen 1 enough to make them interested in potentially adopting to a fleet or so? Thanks. 
Joel Gay : Sure, what I can tell you about our relationship with Liberty is that it’s fantastic. They were very pleased with the performance of our technology throughout the field trial process in particular. How it performed at the well that we fraced in December. And they’re expecting delivery of the first commercialized unit in 2017 assuming of course we keep to the same timeline that we’ve articulated since we announced the deal with Schlumberger back in October. So in terms of the timing of orders, I’m not necessarily focused on that for the VorTeq our focus is really just on milestone one getting through that, then milestone two and once we get through those two stages of this development process. The orders will be -- they will naturally flow. In terms of other commercial milestones within our oil and gas business without exclusively focusing on the VorTeq. I’ll spend a minute talking about gas processing and chemical processing specifically our centrifugal product line namely IsoBoost and IsoGen. As I stated in my prepared remarks we are bullish on the prospect of generating meaningful purchase orders against those two product lines this year. So in terms of the timing in the cadence we are going to focus on milestone one and milestone two without really worrying about orders from either liberty or Schlumberger and in terms of commercial milestones and in eminent purchase orders we are very much mobilizing around the gas processing and chemical processing opportunity.
Patrick Jobin: Got it, thanks so much.
Operator: Thank you. [Operator Instructions] We’ll go next to Brian Uhlmer with GMP securities. Please go ahead. Your line is open.
Brian Uhlmer: Hey, good afternoon gentlemen.
Joel Gay : Good afternoon, Brian.
Brian Uhlmer: Yeah I wanted to stick on the gas processing for a little bit here. I was curious A; do you have orders in hand and could we expect revenue in the front half of the year for that based on the cycle time we get through, what would it take in terms of the order front to see something flow through on the revenue line in the front half of the year? That’s the first part of the question and second part of question is talking about Aramco and generally slow moving machine over there and talking about some large potential development. Is that something that you foresee happening in ‘16 in terms of some purchase orders or something that is more testing and what not more of a 2017 event?
Joel Gay : Great question. So let’s start with the question of purchase orders. No, we don’t have any purchase orders in hand. If we did I would have been most pleased to make an announcement because our investors have been waiting very patiently for those purchase orders. But if you look at how we restructured our emerging market sales team under the leadership of Eric Siebert and frankly how we changed our go-to-market strategy coupled with the very successful performance of our IsoGen unit within one of their larger plant in the Southeastern Province of Kingdom. All of those indicators as well as the activity within our pipeline, all of those indicators bode well for a purchase order in 2016. Now that could be with Aramco or it could be with another customer in the broader GCC. We speak about Aramco, Aramco simply because we have been able to establish something of a beachhead with that company. Given that we’ve been developing that relationship for the better part of three or four years and finally last year in March we were able to put one of our IsoGen systems into production. And that IsoGen installation has been the subject of a lot of media coverage within kingdom and so also what I referred to in my prepared remarks was this portfolio concept, which is to say there is interest within Aramco of deploying our technology throughout their production base, which is to say within their acid gas removal trains or their gas processing plants as well as some select pipeline terminals. Now, in terms of the timing you stated it Aramco is a phenomenal company. But they do have the habit of moving at a glacial pace and we’ve experienced that over the last four years. So I can’t give you the timing on that deployment. All I can say is the indicators look good for some meaningful purchase orders this year when they convert into revenue that’s a different question because you have to think about is this is a greenfield opportunity or is it a retrofit opportunity. If it’s a greenfield opportunity and you understand the cadence at which these large plants are built just because we receive a purchase order in ‘16 doesn’t necessarily mean that we are going to monetize that in record as revenue in ‘16. It very well could be a ‘17 event. But what we are focused on is crawling before we walk and certainly walking before we run. So before I begin pontificating about revenue I’d like to get a purchase order in hand.
Brian Uhlmer: Fair enough, good answer. Very helpful. Slowing up on that when we look at the balance sheet now and we think about North America, which definitely issues any type of CapEx that is not something that is entirely prove or entirely necessary at this point in time. Is the strategy there to go towards if you’re talking $3 million for a unit I guess processing plant to those structure more as a lease and potentially start gaining part of the market share that way or is there a way around this current doldrums we have in North America do you guys actually start getting some product in the field there.
Joel Gay : Yeah so let’s talk about North America. Definitely the most challenging market and environment that we are attempting to penetrate. But when you think about Energy Recovery’s value proposition. So just go ahead and consider all of our products to be a mono lift per say. We have an omnicyclical value proposition, which is to say we can play often at every point of the cycle, why, because our products offer cost efficiency to the end users. Now we’ve seen evidence of that in the form of the Schlumberger agreement okay, but hydraulic fracturing is markedly different from gas processing. So what we’re doing in North America in gas processing as I stated in my comments is, we are in discussions with several would be strategic partners. And these are strategic partners that play in the upstream, not the upstream conventionally as you think about upstream, midstream, downstream. But these are the licensors or packagers who design the plant technology and intern sell them to an end user. And so we are attempting to define a framework that would allow for us to penetrate the value chain with the licensor or packager making the decision to adopt our technology by the end user much less of an issue than it has been historically. And so as those discussions progress, I look forward to providing a more subjective update. But so our market penetration is twofold we do have boots on the ground, we are doing your typical prospecting and business development, but we’re also attacking the market from a corporate strategic relation perspective like I said in attempting to define a strategic vehicle with one of these licensors or packagers that could help us more broadly proliferate our technology in the marketplace.
Brian Uhlmer: Okay thanks. And one quick one for Chris. I apologized, did you give G&A, R&D guidance for the quarter and the year.
Chris Gannon: No we did not. 
Brian Uhlmer: Okay. you did mentioned adding more engineering heads et cetera. What’s the good run rate to you off of the Q4 number and what is the expectation for some continued growth in maybe 5% or 10% range or is that a good ballpark?
Chris Gannon: Let's just say maybe $31 million, $32 million for the year. We’re really not going to give quarter-by-quarter guidance.
Brian Uhlmer: Okay, that’s good. that helps. I’ll turn it back over. 
Chris Gannon: Thank you so much. 
Operator: Thank you [Operator Instructions]. And we’ll go ahead and take another question from Patrick Jobin with Credit Suisse. Please go ahead, your line is open. 
Patrick Jobin: Hi thanks for the follow-up. Just going back to my notes here, I think you said $26 million of projects awarded in 2015 for large scale desalination plans. How much of that’s been recognized and I guess of those orders how much would be -- would fall into 2016’s plan? Thanks. 
Joel Gay : Yeah Patrick we’ll follow-up with the with a précised number. But I think we recognize about 14 of that in 2015, which would mean of course that we carry about 12 of that into the current year. So we don’t report backlog, but we do report contract awards we do announce contract award. So we’re in a very good position as it relates to desalination for 2016.
Patrick Jobin: Got it, great visibility. Okay, thanks for the follow-up.
Operator: Thank you. [Operator Instructions]. We’ll take our next question from Dan Davis with Stifel. Please go ahead. Your line is open. 
Dan Davis: You mentioned in a news release for about month or so ago that you’re going to be buying back some shares. Have you bought any back during the quarter?
Joel Gay : Yeah we did. So the Board approved the share repurchase plan for a gross amount of $6 million. And to-date at least through the end of February, I believe we’ve repurchased approximately 678,000, is that right Chris? 
Chris Gannon: Yeah $4.1 million worth. 
Dan Davis: Thank you. 
Operator: Thank you. [Operator Instructions] And speakers it does appears we have no further question at this time. I will now hand it back over to you for any additional or closing remarks.
Joel Gay : Alright, well thank you for joining us on this call and we will look forward to speaking with you all again in May. Thank you.